Operator: Good day, and thank you for standing by. Welcome to the Q2 2025 MasterCraft Boat Holdings, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Tim Oxley, Chief Financial Officer. Please go ahead.
Tim Oxley: Thank you, operator, and welcome, everyone. Thank you for joining us today as we discuss MasterCraft’s fiscal second quarter performance for 2025. As a reminder, today’s call is being webcast live and will also be archived on our website for future listening. With me on this morning’s call is Brad Nelson, Chief Executive Officer. We will begin with an overview of our operational performance from the second quarter. I will then discuss our financial performance. Brad will then provide some closer remarks before we open the call for questions. Before we begin, we’d like to remind participants that the information containing this call is current only as of today, February 6, 2025. The company assumes no obligation to update any statements, including forward-looking statements. Statements that are not historical facts are forward-looking statements and subject to safe harbor disclaimer in today’s press release. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude items not indicative of our ongoing operations. For each non-GAAP measure, we also provide the most directly comparable GAAP measure in today’s press release, which includes a reconciliation of these non-GAAP measures to our GAAP results. There is also a slide deck summarizing our financial results in the Investors section of our website. As a reminder, unless otherwise noted, the following commentary is made on a continuing operations basis. With that, I’ll turn the call over to Brad.
Brad Nelson: Thank you, Tim, and good morning, everyone. MasterCraft delivered fiscal second quarter results that exceeded expectations. Our robust destocking efforts over the past 24 months have given our dealers the confidence to place new orders ahead of boat show season. Additionally, our portfolio of consumer-centric brands, highly variable cost structure, and free cash flow generation provides us with the ability to continue investing in the business to drive long-term growth. Our flexible operating model and strategic production planning allows us to mitigate near-term risk and deliver strong fiscal 2025 results as we position the business for sustained growth in the periods ahead. Our purposeful lower production through the first half of our fiscal year puts us well ahead of schedule in reducing filled inventories. Assuming current retail trends continue through the summer selling season, destocking of filled inventories should largely be in the rearview mirror. We are narrowing our full year guidance range as a result of our second quarter performance and the promising launch of the MasterCraft XStar product line. We will discuss this in greater detail later on. Looking at the overall retail environment, mixed economic conditions and geopolitical uncertainty amplified typical second quarter seasonality. Despite softer retail, our aggressive inventory management and lower production levels led to a reduction of dealer inventories by more than 30% year-over-year. As we gear up for the summer selling season, despite retail uncertainty, there is still cautious optimism throughout our MasterCraft dealer network. Before discussing recent brand developments, I wanted to briefly address the topic of tariffs. At this point, we are expecting cost implications for fiscal 2025 to be modest. While the vast majority of our materials are currently sourced from U.S. suppliers, ongoing trade and tariff variability could affect certain components. We have strong supplier relationships and an experienced supply chain team proactively working to mitigate risk. We will continue to monitor and act on the implications of trade dynamics on the broader economy and potential impact on retail customer sentiment. Now, turning to our brands. For our MasterCraft segment, our team is actively supporting our dealer partners at the various boat shows worldwide. MasterCraft has performed particularly well at the Salt Lake City, Minneapolis and Düsseldorf, Germany shows. As a reminder, we recently launched our new flagship XStar lineup. Initial consumer reaction has been overwhelmingly positive and has generated a noticeable buzz throughout our network and the industry. The product is in high demand from our dealers and retail customers alike. We are experiencing a strong halo effect on the MasterCraft brand since the launch, resulting in ramped up interest across our product portfolio. We are optimistic that this positive momentum will carry into remaining boat shows and into the summer. Now, let me discuss more specifics related to the new XStar. Production commenced in our second quarter with the first wholesale shipments in our third quarter. As early rate production steadily ramps, the XStar’s premium price point will drive significant earnings and free cash flow in our second half, particularly in the fourth quarter. The ultra-premium XStar lineup consists of a redesigned 23-foot model and a brand new 25-foot offering. This lineup sets a new benchmark in wake and wave performance through its all-new hull and ballast design. Utilizing the industry leading SurfStar system, the XStar creates the most powerful and versatile waves with automated control. All XStars come standard with premium features including a supercharged 6.2-liter engine, a revolutionary transom audio system, an exclusive Z100 tower, a stern thruster, and an innovative dash interface. Our team’s renewed focus on innovation, performance, and luxury is showcased throughout this lineup. We hope that you’re able to stop by our booth at an upcoming boat show. Turning to our Pontoon segment. For some time now, the pontoon industry has experienced softening retail as payment buyers have been deterred by higher interest rates and other macroeconomic pressures. This softening retail combined with a more pronounced seasonality for these types of products has contributed to elevated aged inventory levels across the pontoon industry and a challenging retail environment. Reducing filled inventories has been a key focus for our Crest brand. Fiscal year-to-date, we have successfully reduced pipeline levels at Crest through the off-peak season. As we near the all-important summer selling season, our top priority continues to be selling through aged inventory and pipeline management. Early boat show results for our Crest brand have been mixed. We’ve been encouraged by Crest’s performance at the all-important Minneapolis and Chicago boat shows. For our Balise brand, the early consumer response to our Horizon and Helix models have been promising as we ramp up brand visibility and continue adding strong dealers in targeted locations. Lastly, as we announced in December, the sale of our Merritt Island facility and related plant assets closed as expected. The net cash proceeds of over $26 million, bolsters our balance sheet, and adds to our financial flexibility and ability to invest in our key long-term growth initiatives. I will now turn the call over to Tim, who will provide additional commentary on the quarter and a detailed discussion of our financial results. Tim?
Tim Oxley: Thanks, Brad. As we turn to our fiscal second quarter results, keep in mind that our financial results reflect historically low production volumes. Although retail uncertainty persists, we are optimistic that we are near the bottom of this prolonged market down cycle. Focusing on the top-line, net sales for the quarter were $63.4 million, a decrease of $26.4 million or 29% during the prior year period. This decrease was primarily due to the planned lower volume and unfavorable model mix. For the quarter, gross margin was 17.2% compared to the prior year period of 23.3%. The decrease was primarily attributed to lower cost absorption from the production decrease. Operating expenses were $10.7 million for the quarter compared to $10.2 million in the prior year period. Operating expenses increased primarily due to higher share-based compensation. On the bottom line, adjusted net income for the quarter was $1.7 million, or $0.10 per diluted share. This compares to adjusted net income of $9.5 million, or $0.55 per diluted share for the prior year period, calculated using a tax rate of 20% for both periods. Adjusted EBITDA was $3.5 million for the quarter compared to $12.9 million in the prior year period. Adjusted EBITDA margin was 5.6% compared to 14.4% in the second quarter of fiscal 2024. Our balance sheet positions as well as we ended the quarter with nearly $63 million in cash and short-term investments. We have no debt as we paid off a revolving credit facility balance early in the quarter resulting in $100 million of revolver availability at the end of Q2. Despite low cycle volumes, we generated nearly $11 million of free cash flow during the quarter. Our ample liquidity and financial strength enables us to fund key growth initiatives and return capital to shareholders. During the quarter we spent nearly $750,000 to repurchase approximately 40,000 shares of our common stock. We repurchased shares at a slower pace as planned. Since initiating our share repurchase program in June of 2021, we have allocated nearly $69 million to repurchase more than 2.8 million shares. Our robust balance sheet and strong free cash flow generation reinforces our financial stability through the business cycle. We remain committed to growth through innovation, products and brand development, and highly selective inorganic opportunities given the currently suppressed marine environment. As Brad alluded to earlier, we are narrowing our full year guidance range. For fiscal 2025, consolidated net sales are now expected to be between $275 million and $295 million, with adjusted EBITDA between $19 million and $24 million, and adjusted earnings per share between $0.64 and $0.86. We continue to expect capital expenditures to be approximately $12 million for the year. For the third quarter fiscal 2025, consolidated net sales are expected to be approximately $75 million, with adjusted EBITDA for approximately $5 million, and adjusted earnings per share of approximately $0.17. As a reminder, our second half is expected to have a favorable model mix, which includes the ramp-up of XStar production. I’ll now turn the call back to Brad for his closing remarks.
Brad Nelson: Thank you, Tim. Our business executed well during our fiscal second quarter by delivering better than unexpected results, despite ongoing macroeconomic uncertainty and a highly competitive retail environment. Improving dealer health as we approach the summer selling season, combined with lower short-term rates and prudent production levels, positions our business well for sustained long-term success. Our first half performance provides a solid foundation for the back half of fiscal 2025 and into 2026. With a strong balance sheet and robust cash flow generation, we maintain the financial flexibility to pursue our key growth initiatives. As we move beyond inventory rebalancing, we are highly focused on positioning the business to capitalize on the upcoming market recovery. Operator, you may now open the line for questions.
Operator: [Operator Instructions] And our first question will be coming from Joe Altobello of Raymond James. Your line is open, Joe.
Joseph Altobello: Thank you. Hey, guys, good morning. First question, I want to talk about channel inventory. You mentioned you made further progress. So I was hoping you could give us some numbers around that. I think you said, or have said previously that you’re targeting roughly 600 to 1,000 boats coming out of the channel this year. And I think Q1, you did 500. So maybe update us on where we are through Q2 and what you expect to do by the end of the year?
Brad Nelson: So, we had some very modest channel increase in Q2, which is the typical cadence for us. The increase going from Q1 to Q2 was the lowest increase we’ve had, since we’ve been a public company. So, we’re making good progress on the inventory reduction that we called out earlier. So, we still expect to end up in that range.
Joseph Altobello: Okay. Super. And then just to shift gears over to MasterCraft, it looks like the ASPs were down pretty significantly for that brand, for that business. Can you shed a little light on that for us?
Tim Oxley: You really said it’s a mixed issue that we alluded to earlier, and we’ll be seeing the mix grow substantially in both Q3 and Q4 as we ramp-up the XStar production. I think we had a mixed one toward more of the NXTs and XTs, as the dealers wait for the promising extra launch, and so. Now that we’ll see the DSDs [ph] going back up.
Brad Nelson: And Joe, you probably recall for NXT and XT models, we adjusted pricing on some of those downward actually to address the affordability issue. We didn’t do that across the board on the entire portfolio. That all starts to come back in balance here in the second half with the launch of our new ultra-premium stuff.
Joseph Altobello: Got it. Okay. Thank you, guys.
Operator: Thank you. One moment for our next question. Our next question will be coming from Craig Kennison of Baird. Your line is open, Craig.
Craig Kennison: Hey, good morning. Thanks for taking my question. And kudos on the work to build a strong balance sheet in this market. You mentioned buybacks but also strategic growth initiatives. Is there any way to frame what fits into that strategic bucket? I mean, is it brand startups like you’ve done in the past? Could it be brand acquisitions, vertical integration? And I’m just – based on conversations, we have investors like how do you compare the ROI of investments and acquisitions versus your own stock?
Brad Nelson: Yeah, thanks for the question, Craig. In the short-term, our focus is on executing within our brands and, of course, increasing overall shareholder value while we do that. As we look at what to do with our cash, how to leverage the balance sheet, we’re working in parallel, simplifying our business, focused innovation, product and brand development and improving distribution. Those are more execution related, while also returning capital to shareholders. We’re going to continue to bolster and strengthen a fortress balance sheet. I mean, that’s a capital allocation priority. We will continue to fully fund our strategic and operating initiatives on just improving the business overall and returning cash to shareholders. That’s how we balance those things. Of course, we track returns on all of our investments and return on investment capital internally and we’re pleased with our progress in doing that. But, we also maintain flexibility and we all know we’re in a pretty variable market right now, so having some padding there is helpful, but that flexibility will help us really as we position for the recovery that’s bound to happen soon.
Craig Kennison: Thanks, Brad. And maybe just to follow-up, could you frame the opportunity you see in distribution?
Brad Nelson: Yeah, I mean it really starts of course with geographic coverage. There’s a big world out there and it goes beyond the United States. Domestically in the United States, boating markets are pretty highly concentrated in certain areas and it’s highly competitive out there in distribution. We have great dealer partners, but we also have pockets, geographic pockets of opportunity for growth with expanding and partnering with our dealers for more presents, more stores, more rooftops, and positioning especially as we fill out white space in our portfolio. That product thrust together with distribution improvements happen in parallel and that’s where we get the energy. That lines up well to do that in the down part of the cycle, because when the market and retail starts to pop, then it’s easier for dealers to get a return on that investment as well. So it’s really about geographic coverage and just hitting consumers in the path, in the areas of growth. And then with affordability, there’s certain demographic profiles and certain geographies that are more important than others. So as the world continues to turn there, we need to be constantly vibrant in changing and enhancing, improving our distribution coverage.
Craig Kennison: Thanks, Brad.
Operator: And one moment for our next question. Our next question will be coming from Noah Zatzkin of KeyBanc Capital Markets. Noah, your line is open.
Noah Zatzkin: Hi, thanks for taking my question. Just in general, I guess, have you guys mentioned kind of what industry retail assumptions are baked into the guide? And then as it relates to kind of the early boat shows, just anything to call out in terms of any changes you’ve noticed in maybe consumer sentiment or appetite, any green shoots you can point to, would be helpful. Thanks.
Tim Oxley: So, we guided at the beginning of the year. We thought retail was going to be down between 5% and 10% and we still think that is the case and we’re within that range on a year-to-date basis. As far as boat shows, it was a very much a pleasant surprise to see how much demand there is for the XStar. It’s an expensive boat, the ultra-premium. We had outstanding reception on that boat in Europe. And so in spite of economies being down in Europe and so forth. There are still wealthy people that are like their toys and we’re taking full advantage of that worldwide.
Brad Nelson: I was just to build on that with boat show and consumer sentiment. Even though, we’re sort of at or near the bottom of the cycle and also off-peak season, the seasonality, that double negative. There is increasing, we call – just cautious optimism amongst what we’re hearing from dealers about the potential for retail. Here’s the season starts to turn on. In particular, we had strong shows in Salt Lake City. Tim mentioned Düsseldorf and Minneapolis. There’s a nice halo effect with new product, of course. So this XStar product lineup is drawing a lot of eyeballs, a lot of attention, and solid energy. We’ve taken a lot of deposits on that boat. We’re back half loaded in our production planning there, but we’re excited about that. And then, on the Pontoon side, although the shows have been more mixed there, as those buyers are typically a credit buyer and interest rates still remain elevated. This is the first time in this boat show season to get our new Balise product line, which is also premium offering in front of customers and, in some cases, some dealers to see the product. And product feedback on that product is also very favorable. And we knew with Balise launching in a low part of the market that it’s going to take some time, but we’re encouraged with the Balise product as well. And we’re looking forward to the Miami show next week.
Noah Zatzkin: Thank you.
Operator: [Operator Instructions] And our next question will be coming from Griffin Bryan of D.A. Davidson. Griffin, your line is open.
Griffin Bryan: Hi, good morning. So it seems like you guys are doing fairly well with destocking overall. Can you just speak to what you’re seeing from competitors and the categories you operate in, and if overall dealer inventories are also seeing this level of destocking?
Tim Oxley: We think, I mean, let’s talk about the boat shows first. You get some sense of how competitors are doing. We think we’ve had a more successful boat show season than our competitors. I’m sure that varies from show to show. But, overall, we’re very pleased with how competitive we’ve been. It continues to be an environment that has a fair amount of discounting, so we’ve been judicious with those retail rebates to drive-to-drive sales. And on the Pontoon side, it’s a tough market out there, and so we do a hand-to-hand combat every show and try to make sure that we don’t lose a deal within reason.
Griffin Bryan: Got you. And we’ve heard from dealers that clients think it can be the biggest weight on consumer shoulders who are kind of on the fence of purchasing a unit. Is there a certain rate hurdle that you think would help get retail back the positive, or at least kind of influence more purchasing?
Tim Oxley: It’s pure speculation on my part, but I think it’s probably got to go down another 50 to 100 basis points. Keep in mind that these are consumer rates are largely tied to the long-term interest rates as opposed to the short-term. Short-term gets all the publicity effects are carrying costs and the dealer’s carrying costs with long-term rates are, I think, more closely aligned with the retail lending environment.
Brad Nelson: Some of this can be, of course, psychological too, just for dealer and consumer sentiment. Any improvement is positive. On the MasterCraft side, I mean, roughly half of our buyers are cash buyers. And so, MasterCraft is less impacted. It has some impact, of course, but less impacted by interest rates. In the pontoon space, much more impacted. So, we would expect to see more positive input there as interest rates ease.
Griffin Bryan: Got it. Thanks, guys.
Operator: I’m showing no further questions. This concludes today’s conference call. Thank you for participating. You may now disconnect.